Operator: Good morning, ladies and gentlemen. Welcome to the PostNL Q1 2024 Results Call. At this moment, all participants are in a listen-only mode. And after the presentation, there will be an opportunity to ask questions. Now I would like to hand over the conference call to Ms. Inge Laudy, Manager, Investor Relations. Please go ahead, Madam.
Inge Laudy: Good morning, everyone, and thank you for joining us today in our Q1 2024 analyst call. With me here in the room are Herna Verhagen, our CEO; and Pim Berendsen, our CFO, who will present the results today. As usual, we will start with our presentation, which you can find on the website and on your screen when you're logged into the webcast. After that, we will open for Q&A. Pim, over to you.
Pim Berendsen : Yes. Thank you, Inge, and welcome, good morning, everyone. Let's look at the key takeaways for the first quarter, and then we go into a bit more detail as we go along. In the first quarter results, it came down -- came in below there as of last year, but in line with our expectations, and because of that, we are also, of course, able to confirm the outlook for the full year 2024. Volumes at Parcels grew in line with expectations and are trending towards the full year growth levels. We're pleased to see that growth in domestic volume has resumed. And at the same time, strong growth in international customers continued. Overall, this resulted in an unfavorable mix -- shift in mix that had an impact on margins. We'll come back to that a little later. At the same time, we're gaining momentum on the strategic actions to balance volume and value and took concrete steps in the rationalization of our product and service portfolio. Next to that, we're proud that we have opened a new state-of-the-art sorting facility in Alphen aan den Rijn, with very innovative solar energy storage preparing for sustainable growth. We have confidence in the long-term growth potential of the e-commerce market. At Mail in the Netherlands, as expected, performance was lower than last year, a result of continued volume decline, but also increase in organic costs, of course, mainly labor related. Reported volume decline was 12.5%, which is high, but needs to be adjusted for elections in 2023 first quarter, and corrected for that the underlying decline was 8.3%, just a little bit above the midpoint of the assumed full year range. It's important to note that also here, the shift in mix is unfavorable and materializes faster than anticipated. We have put large effort in fulfilling the vacancy in mail delivery with the number coming significantly down to 300 from 1,000 vacancies. Obviously, this contributes to the improvement of delivery quality. The performance of mail underlines the urgent need for the transformation, as announced in February, and modification of postal regulation is needed for this, and the Minister of Economic Affairs is in the lead of this process. I'll tell you a bit more on this topic on the next slide. And first, and most of all, it's clear that we are really committed to keep the postal network in the Netherlands accessible, reliable and affordable, but we have to face the fact that the current situation is no longer sustainable. The needs of customers and consumer are changing. This has resulted in a 65% decline of 24-hour mail over the last 10 years. And to give you some idea of what this meant, for households in the Netherlands, the average household did receive three letters a day in 2004 and currently receives not more than four letters a week, which is of course a huge difference. All-in-all, the market has been declining. PostNL's volume has declined with 35% over the last 10 years, and that already includes the consolidation of Sandd. Without the consolidation, the volume drop would have been around 50%. During that period, we've consistently tried to adjust our operations and cost base to accommodate and to mitigate this volume decline and we've taken out more than €500 million through cost savings for reaching the end of the current model and the combination of continuous volume decline and very high organic cost increases require a change in USO requirements to maintain a sustainable level of mail delivery in the Netherlands. On Slide 5, it's a summary of our strategy. The three pillars, you recognize were: manage parcels for sustainable growth; mail for value; and we combine that to accelerate -- combine this by accelerating our digitalization programs. The Q1 progress on digitalization and ESG has been very positive. The number of consumer accounts grew to 9.1 million. And we have celebrated the 1,000th automated parcel locker, which has been put to service last month. We've improved our CO2 emissions with 14% and we've introduced four million liters of HVO100 to our European road networks to also offset and be more energy efficient from a footprint point of view. Our people play an important role clearly, and in the quarter, we've reached an agreement on the new collective labor agreement for about 15,000 mail deliverers offering a new salary structure that reflects our valuation for experienced workers. This collective labor agreement runs from January 1 of this year, until the 31st of December 2025. And gradually, over that period, wages will increase around 19%. All in all, to achieve our ambition to be your favorite deliverer with 225 years of dedication trust and innovation to back that up. Now, let's look at the numbers in a little bit more detail. On Slide 6, you find the Q1 numbers. Normalized EBIT came in at minus 9%, a decrease compared to the first quarter of 2023. Free cash flow was €7 million negative, which is an improvement compared to last year and follows a normal seasonal pattern. We have reported a negative normalized comprehensive income of minus €8 million and performance includes a continued high organic cost of €24 million within the quarter. And in Mail, we see a shift to non-24-hour mail that puts pressure on the results of Mail in the Netherlands next to the organic cost increases obviously. Overall, a weaker result than in the first quarter of last year, but as I said, in line with our own expectations. From a bit more detail, we go to Parcels. It was very positive to see the signs of recovery there, 4.6% growth improving throughout the quarter, with exit rates for March of 7%. But also domestic volumes were up 0.3%, with an increasing share from larger customers. Cross-border volumes grew by another 25%. And all in all, that is important tell tales for the gradually increasing domestic growth rates that we project for the quarters to come. The composition of the volume of which roughly 21% is now driven by international customers, have led to a negative mix effect, of roughly € 0.08 per Parcel reduction of average price whilst that already included price increases on the back of indexation. So you'll see in the Parcels bridge, a €16 million negative mix effect offset by 9% price increases, but that still leaves €7 million negative €0.08 per parcel, delta on the average price. As a percentage of overall average price, not that big but in absolute terms still significant. Costs reflect of course, the cost increases on the one hand mainly related to labor, but we also see the impact from efficiency improvements due to network optimization, more smaller parcels, rationalization of services, but of course also the impact of measures that we've taken last year to save costs. On Slide 8, you'll find in the standard format, the EBIT bridge. So we bridge from €5 million results normalized EBIT last year to €2 million this year you see the volume component of 4.6% growth being €16 million revenue mix effect of minus €16 million. Then of course, in the standard format, the volume-dependent cost €11 million of organic cost and the subsequently €9 million of yield management and tariff increases that offset a big part of the organic cost increases. Other costs are a function of operational efficiency improvements and have added €6 million and other results is the combination of very many smaller items of different parts of the Parcel segment that have contributed nicely in this quarter to the result. We've recently added our 28th depot to our infrastructure located in Alphen aan den Rijn, which supports our sustainable growth strategy for e-commerce. We are very proud of this new state-of-the-art facility. It's the biggest – the largest depot we currently have. Of course it has solar panels, close to 2,000 panels to be precise and it also contains very innovative energy storage which takes pressure off the local grid. The building was rated outstanding for new construction by BREEAM and is fully equipped with LED lightning and heat recovery systems and has on-site charging facility for our electrical vehicles. Let's move to the results of our segment Mail in the Netherlands. Revenue came in at €324 million a decline compared with the €349 million of last year obviously, driven by the volume decline of 12.5%. As said excluding election-related mail that would have been 8.3%. Also within Mail, there was a negative mix effect due to a faster than anticipated shift to non-24-hour mail. That was partly offset by the increase in stamp prices of around 8% as of the 1st of January. Normalized EBIT came in at minus €5 million compared to €8 million positive last year first quarter. Labor cost increased following the completion of the collective labor agreement and due to pre-agreed increases in the PostNL collective labor agreements. These costs were partly offset by cost savings of approximately €10 million from product portfolio optimization as well as efficiency gains in sorting and preparation. Sick leave rates remain high, whilst we at the same time have made a huge step to bring down vacancies from 1,000 to 300. That of course also helps us to improve on the quality of service. On Slide 11, you'll find the bridge for Mail in the Netherlands bridging the €8 million result last year with the minus €5 million this quarter. Of course the biggest step-down is the volume effect. Because of the volume decline then a little bit of additional negative mix effect, driven by the quicker substitution of 24-hour mail. And you see organic cost of €7 million outpaced by €11 million price increases. In other cost you will find the cost savings and also other results. It's a combination of very many different things including international mail that show a positive of €4 million. Then from EBIT to cash flow, we've reported a minus €7 million free cash flow for the quarter compared to €31 million the same quarter last year. The biggest explanations there relate to the final settlement of transitional plans last year €60 million that obviously we don't have any more. And also in the first quarter last year we had a big income tax payment of €38 million that we didn't have in this quarter. Next to that of course as we discussed before we've adjusted the CapEx levels to the lower growth. Full year assumption for CapEx is around €110 million and for the quarter we've accounted €26 million of investments. That brings us to the balance sheet. Our adjusted net debt position of €477 million an increase of €15 million compared to year end, obviously, predominantly explained by the negative free cash flow that we just discussed. I think important to note that Standard & Poors have reaffirmed their BBB rating albeit with negative outlook, but still important for us to maintain that BBB rating. And we continue to manage our cash flow balance sheet and net debt position carefully with the -- and to end up obviously below the two times EBITDA as net debt. Then on slide 14 a little bit more detail. If you look at the full year consensus that is really very much aligned within the quarter. There were some deviations between our own expectations and analyst consensus and this slide aims to give a bit more color on how we gradually expect the results to improve over the quarters of the year. And as I said to start with we have confirmed the full year outlook. What we will see is throughout the quarters of the year gradually more growth coming from domestic clients that obviously also means that the negative mix effect will over the quarter become significantly lower. And at the same time the actions we've taken to find efficiency gains, rationalize service and take cost out are also a bit backend loaded. They are kicking in. They are contributing, but will only reach full run rate potential towards the end of the year. The middle graph indicates how the volume development within Mail will go through the quarters. And please pay attention there of the numerous elections that we had in 2023 and as well one planned in 2024 that of course impact the comparable yearly decline rates. We're on track to achieve the €40 million of cost savings based on our existing business model and we have communicated also today that will increase sustained prices as per the 1 of July to €1.14 as well. For the full year, we do expect organic cost increases of €155 million to be partially absorbed by €135 million of tariff adjustments. Within the quarter you can see that, let's say, we manage to match the organic cost increases with price increases. But the next quarters there are some deviations between those numbers also because not all quarters attract the same level of organic cost increases which also to a large extent also a function of when raises on wages that are agreed in collective labor agreements are kicking in. If we go to page 15, it's a recap of the outlook components. Normalized EBIT €80 million to €110 million, normalized comprehensive income €40 million to €70 million and free cash flow €0 million to €40 million where CapEx is expected to be around €110 million. And even a bit more exposed than normally is the case to fourth quarter and the reasons why I just addressed. So gradually more domestic volume growth taking out some of the negative mix effects, whilst at the same time, the measures taken will reach run rate to maximum levels around the fourth quarter time as well. So to close the presentation, maybe just to summarize the main messages. We are executing on our strategy to be the leading e-commerce and postal service provider into and from the Benelux. At Parcels volume growth is trending towards the full year levels as anticipated coming with an unfavorable shift in product and customer mix. We are gaining momentum on all actions we take to balance volume and value and remain confident in the long-term growth potential of the e-commerce market. For Mail, in The Netherlands we are committed to keep the postal network accessible, reliable, and affordable, but the current performance underpins the urgent need for transformation. Modification of postal regulation is needed to adjust the service level to fit with lower demand for 24-hour mail and to better align with volume decline and labor shortages. The current situation is simply not sustainable. And with that, we confirm our outlook for the full year. That's it for me. For now, Inge, let's go back to you.
Inge Laudy: Yes. Thank you, Pim, for your presentation. We now open up for Q&A. Operator, could you please explain the procedure?
Operator: Thank you. [Operator Instructions] We will take questions our first question. Your first question comes from the line of Michiel Declercq from KBC Securities. Please go ahead, your line is open.
Michiel Declercq: Yes, hi. Thanks for taking my questions. The first one would be on price increases for Mail. I was just wondering is -- was this already included in your original outlook at the end of the fourth quarter last year because I would assume that this would have some impact on the potential margin or on the volume outlook, given that in the past, you always mention that price increases, of course, come with some sensitivity on the volumes? So, I was just wondering if this is already included? Also given that I think you are roughly in line with the organic cost increases is what you mentioned. So, just some more color on that. And then I think for the second question, you also booked some provisions for claims and indemnities in the Mail segment. Can you elaborate a bit more on this? Is this related to the situation in Belgium and the recent press noise that you would be looking at a fine of around €24 million? So, just some more color on that please. Thank you.
Pim Berendsen: Thank you. Good questions. The price increases that we've announced today for Mail was already included in our original outlook and as such was also already taking into account when assessing the expected volume decline. So, this is now the launch of it in more public domains, but it is already -- was already included in our outlook. Indeed you've seen that on the total set of claims and litigation elements that refer also back to positions that we've taken in our 2023 annual report, so that's positions with a probable risk. We have reassessed an entire list of different type of provisions and have had to add provisions to it. It's I can say not related to the Belgium case, not related to the €24 million that was demanded by the authorities in Belgium. But it relates to very many different aspects and we've made a true-up of those. They relate to years prior to 2024, have a one-off character, and that's why they fulfill the conditions of the definition of normalizations. And that's why you don't see them back in our normalized EBIT results.
Michiel Declercq: Okay, that's very clear. Thank you very much. But just a small follow-up. Is there already anything included on your balance sheet for the provisions related to what is ongoing to Belgium if you can just remind me for that?
Pim Berendsen: No, not for Belgium as said and also what we argued Friday in court is that at the end of the day, we believe we operate within the boundaries of Belgium law. It relates to employees that are employed by our delivery partners where we feel that we are not the employer of. So, we are confident that we operate within the boundaries of Belgium law and have not provided anything for it.
Michiel Declercq: Clear. Thank you very much for the answers.
Operator: Thank you. We will take our next question. Your next question comes from the line of Marc Zwartsenburg from ING. Please go ahead. Your line is open.
Marc Zwartsenburg: Yes. Good morning. Thank you for taking my questions. First one is on Parcel volumes. Pim, can you give a bit more color on the trend through the quarter but also into April, because you came out at 4.6%. The guidance is 7% to 10% and better exit rates that’s – yes, what should we expect in terms of market share wins and the trend going forward? Will it accelerate to the higher end of that range to and come out at the year at 7% to 8% for the full year? Can you give a bit more color?
Pim Berendsen: Yes, a little bit. As said, yes, we still expect 7% to 9% for the year. 4.6% in the quarter was also in line with our expectations, which means that also in our original outlook we anticipated the growth rates over the quarters to gradually increase. We were actually very pleased to see domestic growth already back in the first quarter, albeit small but back and that is important. Within the quarter, we definitely exited the first quarter higher than the average for the quarter at 7% growth in March. And basically, that is also what we see continuing roughly speaking since March.
Marc Zwartsenburg: And is that excluding any potential positive impact from the strikes at depot, because they indicated that some volumes were pushed to competition which…?
Pim Berendsen: Well, we have not seen the significant impact of that strike in our volume development. We did see a very positive volume development in Belgium as well, but that's all included in the numbers, I just shared.
Marc Zwartsenburg: And how would this accelerate from the plus 7%, you need at the end more growth than that even year-on-year on tougher comps? So what will drive your growth even higher to reach the 7% to 10% for the full year?
Pim Berendsen: Well, as said, we do expect the domestic percentage of growth to gradually increase. That is also based on the expectations those clients have, predominantly in Q3 and most exposed in Q4. We do expect higher growth than the 7% rates to end up with the 7% to 9% for the full year.
Marc Zwartsenburg: But does that include also that there will be new clients facing in Q3, Q4? Or is it more at existing clients, which I think you…?
Pim Berendsen: That is more on existing clients.
Marc Zwartsenburg: Existing clients.
Pim Berendsen: Yes, it's more on existing clients. We -- as said, well, we have in 2023 lost a couple of clients and that has still impacted the growth number in the first quarter a little bit. Although, we're also happy that kind of the development to market share is more or less stable already in first quarter. And we know that we have won a couple of clients that are due to start or have already started in the second quarter. That will gradually add to the growth as well next to the market growth contribution. And that's a combination of bigger and -- sorry?
Marc Zwartsenburg: So they are phasing in now. They were not in Q1. They will phase in the second quarter.
Pim Berendsen: Yes. So in Q1, there is still a little bit of net negative but very small. That will gradually turn into a positive when we onboard those clients and get volumes into our system, yes.
Marc Zwartsenburg: Okay. Great to hear. One other question I have is the change in business product mix...
Pim Berendsen: Marc, the line went -- became bad. So can you maybe repeat your second question for me?
Marc Zwartsenburg: Yes. Sorry. My headset dropped. Can you still hear me?
Pim Berendsen: Yes.
Inge Laudy: Yes.
Marc Zwartsenburg: Okay. My second question was around the change in business model. Can you give us a bit of an update where we stand there, what the latest talks are and what the chances are that we get an update with some more tangible evidence that it will happen at the Q2 numbers? Can you give us an update first?
Herna Verhagen: What we did do Marc after 26th of February, it gave us of course the possibility to share our views on how to change the mail market and service levels in that mail market. So we've talked to many of our stakeholders meaning politicians, unions, employees, all sort of councils in the Netherlands, the Ministry of Economic Affairs. As we said in the press release, Ministry of Economic Affairs is in the lead. So they decide in the end on the pace and of course the content of it. I think what is good news is that the Parliament in the Netherlands, so the Second Chamber said that the postal law is not controversial anymore. That's important to us because it means that content of that postal law can be discussed in Parliament, and they of course, planned some information meetings. So there is progress in the sense that it is a topic now. Many of the people are busy with it. And hopefully we can give a little bit more progress in the second quarter Marc.
Marc Zwartsenburg: What did you say as the last piece, Herna? Can you repeat that?
Herna Verhagen: Yeah, hopefully -- we hope to give you a little bit more progress when we present our second quarter numbers. But what we do see is that it became a subject and people are talking about it. And that is, of course, good because it needs a certain amount of people and group of people we think it's necessary to change before it will change.
Marc Zwartsenburg: And do we need a new Parliament for that? Or can we also do it in the current political environment?
Herna Verhagen: We have, of course, a new Parliament. We do not yet have a new cabinet. This can be done in the current cabinet. And that's the reason why the fact that Parliament said that it's not controversial anymore, it’s so important because that opens the way for the current cabinet to start talking about it.
Marc Zwartsenburg: But we do need a new Parliament, so they have to -- because they have to rule over this. Is that correct?
Herna Verhagen: No. There is a new Parliament that is already there since November last year. So they -- the fact that they said -- let me say it differently. So there is a new Parliament since the end of last year. What they did do after our announcement on the 26th of February, they decided that the postal law is not controversial anymore. That means that the current cabinet can handle and can discuss and can bring proposals around changes in the postal law forward to Parliament. So a new cabinet is not necessary for progress on this file. And that's the reason why the fact that it's not controversial anymore is so important.
Marc Zwartsenburg: That is fair. Thank you, Herna. Thank you for taking my questions. Thank you very much.
Herna Verhagen: Thank you.
Pim Berendsen: Thank you.
Operator: Thank you. We will take our next question. Your next question comes from the line of Henk Slotboom from The Idea. Please go ahead. Your line is open.
Henk Slotboom: Good morning all. Thank you for taking my questions. I'll do them one by one if that's okay. First, I want to go to slide 8 of the presentation. We've seen volume growth adding €16 million to normalized EBIT. At the same time we see the adverse mix effect. The ratio that €16 million again, and then we see volume depending costs, minus €11 million. What am I missing here? Where is the operational gearing? I can imagine parcels from China, they bring a lot less in terms of tariffs and that sort of things than domestic volumes. And that you accept this kind of volume to basically increase your operational gearing is something I can understand. But I don't see the operational gearing here. What am I missing here?
Pim Berendsen: A couple of points Henk. Good morning to you. Of course, let's say you need to look at the revenue, volume and volume-dependent cost in conjunction with one another. And more volume attracts more cost and the balance of those is kind of the contribution. What we see is that relatively speaking, there is a few percentage points difference on the average price per item that for the comparison with last year accounts for €0.08 per item difference. And that is split between an even bigger mix effect, more international volumes and also within international more import versus export but also within domestic bigger clients grow faster than smaller ones. Those mix effects have a significant impact on the average price per item. At the same time, the growth has led to a reduction of the cost price per parcel with also a couple of cents. But the step-down on mix is bigger than the gain on cost price per item. And that of course pushes the margin down. That is what it is. So there is leverage. More volume growth leads to lower cost price for parcel. That cost price per parcel element will going forward still be influenced by the measures that we talked about that over the quarters will improve operational efficiency even more. And at the same time, the mix effect will reduce over the quarters because of the fact that domestic growth will gradually improve and take more of the growth in comparison to the growth from cross-border. Those two elements together will over time turn this negative push on margin to a more positive one leading to the full year outlook that we discussed.
Henk Slotboom: Okay. Then connected to it the growth in cross-borders is so strong that I was tempted to look at some of the peers of Spring. And I see margins there, well, even in the what you call it the non-stars of the sector which are easily between 3% and 5%. If I look at the sales and the revenues of Spring it's €125 million. If I take a ballpark figure on operating margin of around 4%, then Spring is by itself should already achieved a higher EBIT than we see for Parcels as a whole. Again, what am I missing here?
Pim Berendsen: As said, not all volumes that go cross-border, let's say are handled by Spring. The Spring business models they could be directly related to our Dutch networks. And as such returns all those clients are within the e-commerce Parcels aligns and not within Spring. So it's the combination of those factors. We're happy with Spring's contribution to the group and we're definitely very happy with the contribution of those cross-border volumes to the overall PNL as a group. That's not to say that the balance of the growth would be better off if we see bigger domestic clients grow a bit faster. And that's exactly what we also expect them to do over the next quarters.
Henk Slotboom: Okay. And then on the mix effects, it's clear that one of the pillars on which you're tying this for the full year is based, is that you see momentum coming back in domestic spending and domestic parcels. And we quite clearly see that in the development of retail sales as well. But at the same time, I believe as of the 1st of June, you will stop with the Sunday delivery and you will stop with the evening delivery in certain areas of the Netherlands. How is that going to impact your volume growth in the second quarter and beyond?
Pim Berendsen: That's all been taken into account when we define the outlook, Henk. And the reason why we are considering stopping those special services on Sunday is because they are relatively speaking too little volume for the quality of service we offer, which makes it very inefficient to keep on doing that, because it compresses margin rather than that it brings any value. So that doesn't impact our growth expectations at all.
Henk Slotboom: Okay. But normally speaking, it should have a slight negative impact on your overall volume growth, but that's in the -- included in the guidance.
Pim Berendsen: That depends if -- it depends whether or not you move that to another day or not. But it -- the impact of those measures has been taken into account with the full year guidance that we've given and that we've today reconfirmed.
Henk Slotboom: I've got one more, and then I will go back in the queue, and will not monopolize this meeting. On the number of ATMs in the Netherlands, I saw that you've celebrated your 1,000th ATM at the end of April. If my memory doesn't let me down, you had around 903 or something like that in the -- at the end of last year. That means that in four months' time, 100 ATMs have been added. You have a target for 1,500 at the end of this year. But if I take this speed of rollout, then I should arrive somewhere between 1,250 and 1,300. Is that correct?
Pim Berendsen: Yeah. But I cannot correct you on the math, Henk, but the question is not necessarily that the run rate of the last couple of months will also be the run rate that is, let's say, that is planned for the next months and that's quite often a function also when retail stores, supermarket, grocery stores are going to be refurbished. So, there is a road map that quite clearly plans and indicates in which locations we will open up APLs. And that road map that the team is working against on -- bring us towards that number for the full year that you talked about.
Henk Slotboom: But by the end of this year, all the supermarkets have to stop selling -- yes, the 1st of July, they have to stop selling tobacco, which means that the service desk, in most cases, disappears. Is the -- my question is very simple. Is the 1,500 target still intact for the end of this year?
Pim Berendsen: Yes.
Henk Slotboom: Okay. That's all I need to know. I'll go back in the queue. Thank you.
Operator: Thank you. [Operator Instructions] We will take our next question. You have further questions from the line of Henk Slotboom from The Idea. Please go ahead. Your line is open.
Henk Slotboom: Thank you. I'm almost to be able to move up like this meeting, but not really. The next question I have is on the PostNL CLA. We've seen the impact of the mail CLA. What's kind of wage inflation that you included in the guidance for the big PostNL CLA? Can you say something about that?
Pim Berendsen: Yeah. Do you want me to -- want me to do the negotiations through the script of the analyst call, Henk, or -- of course, you know that I will not go into details.
Henk Slotboom: I don't know. It would be your -- whatever are listening in but -- no, no.
Pim Berendsen: I'm sure they will. But let's say -- of course, let's say, we've taken an assumption on the back of what we see as wage increases as a function of inflation rates being up in businesses around us. And quite clearly, that is more than what we've done in the past, but it's also significantly less compared to the wage increases in the collective labor agreement for mail deliverers because a big component of that step-up was obviously also driven by the increase of minimum wages that, of course, don't have that kind of impact on the PostNL collective labor agreement. So I think we will be okay with the assumption that we've taken negotiations on that collective labor agreement will start probably by the end of this month and will take as long as they take.
Henk Slotboom: Okay. Then the -- a question, you said in your introduction remarks that the number of vacancies -- open vacancies in Mail have been reduced to 300. What happened there? Have you been hiring new staff? Has the churn come down significantly? Is it simply the fact that you don't need as much mail deliverers as you did because of the contraction of the mail volumes? What exactly are the main drivers there?
Pim Berendsen: Yeah. All clear. No. It's not that we -- the number of vacancies have not -- or the positions that we seek employees for has not come down. But basically, we've put even more effort in trying to attract more people to it. That has become more successful over the months. Probably also helped a bit by the new Collective Labor Agreement that was reached. And that has brought back the number of vacancies in mail delivery which is of course also directly correlated with the quality of services. And that's why it's an important driver for us to follow. And having it come down from 1,000 to 300, makes us comfortable that the proposition that we have to attract new people to fill the routes that need to be filled, is becoming better-and-better. And that will have a positive impact on quality levels going forward as well.
Herna Verhagen: And as we…
Henk Slotboom: Okay. And then…
Herna Verhagen: And as we did say of course also when we announce future Mail, we expect to need quite some mail deliverers over the next coming years. So we do not expect that the hiring will be less in a year or two or three years from now.
Henk Slotboom: Okay. And then the final question from my side. Last Friday, we saw the publication -- or Thursday sorry, we saw the publication of a decree in Belgium on giving the Economic Affairs Minister the possibility to set minimum prices, minimum tariffs for sub-contractors -- payable to subcontractors. We've seen media reports in the past referring to levels of around €30, €32 per hour. I guess that's a lot more than what is common right now. What I did understand is that the new regulation, the moments that prices can be fixed is on the 1st of October which actually is the start of the peak season of the final quarter, any thoughts about that?
Herna Verhagen: The thoughts around that, is there's still quite some discussion with the branch not per se with us but with the branch on is this implementable? Is this doable? What is exactly in that hourly wages? So which elements are in the hourly wages which are not? So there's still quite some discussion on how to look at it. And that of course, depending on how much of the cost you have to put into that hourly wage. That is of course a critical point to come to the view what is the consequence of this and what is it not. So it's still up for discussion, and still lots of debate with the branch in Belgium.
Henk Slotboom: Okay. That's why the regulator decided to start implementing this, as of the 1st of October. So they need more time basically.
Herna Verhagen: Yeah. They need the time for the discussion. And they needs also of course clear answers, to get it rightly implemented.
Henk Slotboom: Okay. So there's more necessarily than the consolidation document that was published by the Belgium regulator when was it two weeks ago three weeks ago something like that.
Herna Verhagen: Yes. Yes.
Henk Slotboom: Okay. Yeah. Okay. That’s all my questions. Thank you.
Herna Verhagen: Thank you.
Operator: Thank you. There are no further questions. I would like to hand back to Inge Laudy, for closing remarks.
Inge Laudy: Thank you all for listening in. And enjoy your day. Speak to you in August. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.